Operator: Good day, ladies and gentlemen, and welcome to the USA Technologies Fourth Quarter and Fiscal Year 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference, Ms. Monica Gould, Investor Relations for USA Technologies. Ma'am, please go ahead.
Monica Gould: Thank you and good morning, everyone. Welcome to the USA Technologies' Fourth Quarter and Full Year Fiscal 2017 Earnings Conference Call. With me on this call this morning is Steve Herbert, Chairman and Chief Executive Officer; and Priyanka Singh, Chief Financial Officer. Before we begin today's call, I would like to remind you that all statements included in this call other than statements of historical facts are forward-looking in nature. Actual results could differ materially from those contemplated by the forward-looking statements as a result of certain factors, including but not limited to business, financial, market, and economic conditions. A detailed discussion of the risks and uncertainties that could cause actual results and events to differ materially from such forward-looking statements is included with our filings with the SEC and in the press release issued earlier this morning. Listeners are cautioned not to place undue reliance on any such forward-looking statements, which reflect management's view only as of the date they are made. USA Technologies undertakes no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise. This call will also include a discussion of certain non-GAAP financial measures that we believe are useful for among other things, evaluating USA Technologies' operating results. These non-GAAP financial measures are supplemental to and not a substitute for GAAP financial measures such as net income or loss. Details of these items and a reconciliation of these non-GAAP financial measures to GAAP financial measures can be found in our press release issued earlier this morning and on the Investor Relations section of our website www.usatech.com. I would now like to turn the call over to Steve. Steve?
Steve Herbert: Thank you, Monica, and good morning, everyone. Thank you for joining us to discuss our fourth quarter and full fiscal year 2017 results. Set amidst the backdrop of an accelerating adoption of cashless payments in the unattended retail market, we at USA Technologies executed on our growth strategy and achieved a record-breaking fourth quarter and fiscal year. The fourth quarter's net new connection number of 64,000 is evidence of the inflection point we're seeing in the unattended retail market toward non-cash acceptance. To give you a sense of just how far we've come since we laid our strategic growth initiatives three years ago, this quarterly connection achievement compares to 67,000 net connections, added for the full year in fiscal 2015, just two years ago. It's obviously the largest connection ad in the company's history and drove total connections to 568,000 at June 30. We believe other large industry operators are witnessing this transition and at some point during the not-so-distant future, we believe that in order for an operator to be competitive in securing locations, cashless acceptance will be a must-have item in addressing any competitive situation or our uptake. Joining our roster this quarter were 300 new customers, bringing our total customer count to 12,700. We are seeing these connections convert to revenue. First in equipment sales, then to the recurring licensing transaction line, both of which hit new highs. Fourth quarter revenue was $34.3 million, of which $18.7 million was L&T and $15.6 million was equipment. The fourth quarter marked the 31st consecutive quarter of year-over-year revenue growth and the top line rose 56% from a year ago. For the year, total revenue grew to $104 million, a 35% increase from last year. Our service, ePort Connect is being utilized by consumers at an increasing rate. In the fourth quarter alone, we processed more than 114 million transactions for more than $225 million in value. For the year, we saw transactions amount to more than $800 million, representing growth of 37% from 2016. We are now predicting the billion annual run rate for transaction processing by the end of the first quarter. From a profitability perspective, consistent with our prior commentary, we leveraged operating expenses in 2017, reducing them as a percent of total revenue to drive more dollars to the bottom line. Adjusted EBITDA increased both in the fourth quarter and for the full year. As a reminder, our dual goal is to drive both increasing profitability and top line growth in this dynamic and growing industry. By now, it's a familiar refrain [ph] whereby a number of our customers have chosen to equip 100% of their locations with cashless acceptance. Of course, as we demonstrate our value to our current customers, they see the returns to be gained by going 100%. Our premium services offering helps them to project manage the rule out, making it even more compelling to do so. Again, going forward, we believe that cashless capability will be a de facto item on any [indiscernible] for unattended vendor. Now, I'd like to turn to some of our recent business highlights. One transaction we announced in the fourth quarter demonstrated the success of the VendScreen acquisition we completed in January 2016, which we built into our ePort Interactive offering. When we bought that platform for roughly $5 million, it had approximately 4,000 connections, which we've since grown to approximately 34,000 connections. In the fourth quarter, we announced the single deal of five-year strategic agreement with Five Star Food Service for a deployment of nearly 9,000 interactive devices on our ePort Connect service. Five Star is a progressive food service, vending and micromarkets company and we're now enabling the company to track the acceptance of cash, credit and debit cards and mobile wallet payments such as Apple Pay, Samsung Pay and Android Pay. In addition, Five Star will be able to leverage all of the capabilities provided by our ePort Connect platform including digital advertising, loyalty rewards programs and nutritional information. ePort Interactive is doing extremely well and as an example of our ability to deliver greater value to our customers and garner increased revenue from each connection, which is an important element in our strategy for growth. In an example of our continued expansion into the kiosk market, where we frequently use our Quick Connect APIs or said in [ph] other way create a connection without a traditional hardware sale. We announced our partnership with JuiceBot, a California technology company offering automated kiosk that can serve raw and organic beverages in an unattended retail format. The company will be leveraging USAT's Quick Connect API to securely process cashless transactions, track the acceptance of cash, credit or debit cards in mobile wallet payments and remotely monitor the operation of their unattended locations. We're also seeing increased momentum and uptake of cashless and contactless payment in our other vertical markets. For example, in the commercial laundry industry which is estimated to be a nearly $5 billion market, contactless payments have more than doubled in the past year for our partner. The growth of cashless acceptance in the unattended retail market is aided by our partners both in the payments industry and financial partners like Chase, Mastercard and Visa. Over the course of the fiscal year, we've expanded our partnerships to include Ingenico Group, a global leader in seamless payments with 32 million terminals in more than 170 countries. This partnership has the potential to expand our presence in a number of industries in the unattended market such as kiosk, education, retail, hospitality and parking, as well as the opportunity to grow globally. Moreover, our support for Apple Pay, combined with our targeted digital marketing on our ePort Interactive platform is driving increased use of mobile payments, which in turn is leading to a higher number of transactions processed and boosting overall revenue for our customers. In fact, a study we conducted last year with Apple found that targeted advertising of the availability of Apple Pay at point-of-sale increased the number of contactless mobile wallet transactions by over 135%, with total transactions rising by 45% and overall revenue by 37%. These results demonstrate that when consumers are presented with an option to pay with Apple Pay, the number of mobile payments made and the amounts [indiscernible] increases. Additionally, I'm quite pleased to report that we've now reached approximately 475,000 connections that accept NFC-based mobile payments. We believe that this is the largest footprint of its type, controlled by a single entity in the United States, if not the world. And finally, as we noted on last quarter's conference call, we signed anchor agreements with two global companies to promote mobile payments at the point-of-sale by employing digital marketing on our ePort Interactive platform. We are delighted to announce that these milestone agreements are with Chase and Apple. We look forward to continuing our collaboration with these partners to enhance the growth of cashless and mobile payments across the industry. Looking out to fiscal 2018 and beyond, we believe the brick and mortar retail industry is going through a metamorphosis, which is creating substantial opportunity for self-service or unattended retail as a mechanism to deliver goods and services to consumers while providing operators with real-time information to help them more efficiently manage their business. We believe that USAT is uniquely positioned to benefit from this shift and we're focused on expanding our offering to enhance our leadership position and solidify our role as the platform of choice for the unattended retail market. Our efforts over the coming year will be centered on increasing the value-added services we offer, expanding our advertising program on the ePort Interactive platform and growing loyalty-based programs to increase the level of touch that brands can achieve at point-of-sale. As I said earlier, our industry is dynamic and accelerating and we expect to see significant developments in our space as it grows and attracts attention. We want to continue to be the platform leader in market share, technology innovation and remain the partner of choice for our operator customers. Toward that end, our company decided to complete a secondary offering in late July to bolster our balance sheet to take advantage of opportunities both organic and inorganic that may present themselves in this rapidly evolving landscape. We intend to pursue acquisition opportunities that we believe would be accretive and strategically complementary, further enhancing our offering with additional value-added services or allowing us to expand into additional verticals or geographies to drive further growth and greater returns for shareholders. In closing, I'm very pleased that the progress we've made this year and the significant milestones we've achieved, most notably exceeding our goals for the fiscal year as well as meeting our three-year strategic objectives. Of course, none of this would have been possible if not for our customers, our dedicated employees, our supportive shareholders and our Board. In particular, I'd like to thank Priyanka Singh, our CFO for her swift and positive impact since joining our team just five months ago. Under her leadership among other things, we strengthen our finance organization. We look forward to the many opportunities that we have ahead of us and another exciting year in fiscal 2018. With that, I'll now turn the call to Priyanka to provide a more detailed financial overview. Priyanka?
Priyanka Singh: Thank you, Steve, and good morning, everyone. Fiscal 2017 was a terrific year for USA Technologies. It included a number of significant milestones. We exceeded our long term growth by achieving $104 million in revenue and 568,000 in connection, all while driving growth and profitability and expansion in other operating margins. Our revenue for fiscal 2017 increased 35% to $104 million. This included $69 million of license and transaction fees, up 22% and $35 million of equipment sales which were up 68% from last year. Adjusted EBITDA for fiscal 2017 grew 18% to a record $7 million and operating income improved to $135,000 compared to a loss of $1.5 million in the previous fiscal year. Our fourth quarter performance was exceptional and we ended our fiscal year in a very strong position. This strong performance was driven by accelerating growth across all key performance indicator. From a top line perspective, we achieved record revenue of $34 million, up 56% driven by the addition of 64,000 connections - the highest number of ads in a quarter in the company's history. At $2.8 million, our adjusted EBITDA grew threefold compared to last year, which we consider a very strong indication of the scalability of our business and our ability to drive improved returns in margin expansion through top line growth. We added 300 new customers, ending the quarter at 12,700 customers, a 15% increase from last year. Existing customers accounted for 93% of growth new connections, reflecting the trends that we continue to derive increases in connection from deeper penetration of existing customer accounts. Let me now briefly provide a breakdown of our revenue in the quarter. License and transaction fees increased 22% to $18.7 million and represented approximately 54% of our total revenue. Equipment sales were $15.6 million, up 134% from the prior year. This increase combined with the record-connection growth, is we believe a very strong validation of the market inflection and the growth of cashless acceptance in our target markets. As a reminder, sales of our equipment drive long term higher margin L&T revenue. Now turning our attention to margins. Gross profit grew 20% to $7.5 million. L&T gross margins expanded 230 basis points to 32.8%. We are very pleased with this sequential growth in our L&T margins over the year. This expansion in margin is a validation of our strategy to drive more profitability to our recurring revenue stream. For our L&T revenue, we're constantly [indiscernible] on both sides of the equation. On the revenue side through customer and channel mix, or by expanding value-added services to our existing customers to drive incremental revenue and on the cost side by leveraging economy scale to help decrease service and other cost. Our equipment margin was 8.9% in the fourth quarter, compared to 17% last year. As we stated in the past, our strategy is to use equipment sales as an enabler for driving long term higher margin recurring revenue by leveraging the relationship made from the initial connection. Now turning to expenses. SG&A expenses of Q4 was $6.8 million, trending similar to the same quarter last year. As we expected and indicated, our SG&A expenses increased compared to the prior two quarters due to the timing of our annual [indiscernible]. However, due to increased scale and operating leverage as the percentage of revenue, SG&A expenses decreased from 50.6% of revenue in the fourth quarter of last year to 20% in the fourth quarter of this year. We continue to believe we've leveraged SG&A as we grow revenue for enhanced profitability. During fiscal 2018, we expect SG&A expenses on an absolute basis to increase modestly from our fourth quarter performance with some quarter-to-quarter ratability, depending on the level of marketing and tradeshow activity. As a percentage of revenue, we expect SG&A expenses to decline as we continue to grow our top line by leveraging investments we have made in our organizational infrastructure. Turning to the balance sheet. Networking capital decreased $3 million from last quarter to $5.8 million, primarily due to the timing of funding of our finance receivable. Our cash balance which was recorded at $12.7 million at the end of the quarter would have been approximately $20 million if adjusted for the timing of funding. As Steve mentioned, subsequent to fiscal year end in May-July [ph], we completed our follow-on offering, raising approximately $43 million of growth proceeds. These proceeds further strengthen our balance sheet and together with the cash available provide us with the flexibility to pursue organic opportunities and inorganic growth to acquisition prospects currently in our pipeline. These opportunities would enable us to add more value-added services, allowing us to drive higher margin recurring revenue. Let me wrap up with our guidance for fiscal year 2018. We expect our connection count to grow between 22% to 27% or 170,000 to 175,000 which will drive revenue growth of 18% to 22% to $122 million to $127 million for the full year. We expect that our L&T margins will expand on track towards our long term targets of 56% to 40%, up from the 33% we achieved in the fiscal fourth quarter. In addition, we expect our equipment margins to remain steady at the similar rate for the second half of 2017. In fiscal 2018, we plan to add to our sales and marketing organization to take advantage of the increased momentum in our industry, further expanding our top line and growing other market share. As such, we anticipate modest growth in our SG&A from fourth quarter levels to $28 million to $28.5 million for the fiscal year. As a percentage of revenue, we expect SG&A to continue to decline, reflecting the scalability of the business and our improved operating leverage which will drive higher profitability. Therefore, we expect our adjusted EBITDA to grow substantially between 35% to 50% and our operating margins to expand. These projected numbers I just reviewed do not include any expenses incurred in the first quarter of 2018, relating to our public offerings or any potential acquisition-related expenses that we may incur during fiscal 2018. As I indicated earlier, we remain focused on executing on our strategy to sell more value-added services such as loyalty and interactive advertising amongst other to grow our higher margin recurring revenue stream. Moreover, we intend to pursue opportunities to increase our fleet of services to strategic partnership or potential acquisitions. These efforts will help us generate more revenue for our connection while improving our operating leverage as we further scale the business. This concludes our financial update. I will now turn the call back to Steve. Thank you.
Steve Herbert: Thank you, Priyanka. To wrap up, we're very pleased with our performance in fiscal 2017 and are excited about the opportunities ahead of us in fiscal 2018. We plan to continue to build out our industry-leading platform with additional value-added services and partnerships to enable companies of all sizes to provide the key services they need to operate their unattended retail businesses. And with that, we'll now be happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of George Sutton with Craig-Hallum.
George Sutton: Thank you and good morning. Real happy with the connections guidance and I wondered if you could give us a sense of the composition of the connection growth you see this year, relative to existing customers increasing their penetration versus bringing that in from new customers?
Steve Herbert: Good morning, George. Thanks for the question. We believe that at least in the first half of this fiscal year, we're going to continue to see a very heavy mix of our connections coming from our existing customer base. We still have a lot of headroom, or white space, whatever you want to call it with those customers and I believe in the fourth quarter, those existing customers represented approximately 93% of our connections. So there's no reason to believe that that mix would change heavily, particularly in the first half of the fiscal year. Things may shift a little bit as we move through the year, but for the first half, I would think of it as the way that it has been unfolding for the last number of quarters.
George Sutton: Well, just a commentary there. I'm pleased that a lot of the growth is coming from existing customers. That's a lot more predictable, obviously, than bringing in new customers. One other question, kind of a tip of the iceberg question relative to the 100% cashless move. Can you just give us a sense of the number of your customers or a percentage of your customers that have moved to that 100% cashless?
Steve Herbert: George, we don't have our finger on an exact number at the moment. There are customers that are either at a 100% or they're moving to a 100%. There has to be dozens now that are either there or moving there and then if you started to include those that were in discussions with, the number would be larger. I think dozens.
George Sutton: Dozens. Okay. One other thing. Could you throw a couple of small partners that you have on the digital side chasing Apple? I wondered if you could just give us a little bit more detail on that opportunity?
Steve Herbert: Sure. It's a fairly simple arrangement in that regard and when we talked about digital marketing or advertising partners as a potential revenue stream and potential partners for leveraging the ePort Interactive platform - if you remember, we said the most likely partners to wait [ph] in first, would be those who want to promote their new payment methods or their brand. In the case of Chase, they want to promote two things. They have their own mobile payment initiative called Chase Pay, but of course they also have many, many Chase-branded cards. That's a twofold type thing and Apple is really consistent with what we've been doing with Apple all along, taken to another level with an agreement for digital marketing at point-of-sales. It's really simple in that regard. They see the positive. I believe I referred to some of the test results that we got with Apple and those that have been made public jointly by our shelves and Apple, people see that and they're obviously willing to move in with something of a deeper commitment. I hope that helps.
George Sutton: Oh, it's great. Thanks, guys. I appreciate it.
Steve Herbert: Sure.
Operator: Our next question comes from the line of Gary Prestopino with Barrington Research.
Gary Prestopino: Hey, good morning. Priyanka, I couldn't write that. Did you give some guidance from gross margins on the equipment and licensing transaction for next year?
Priyanka Singh: Not for next year, Gary. We give long term guidance of intending to be about 36% to 40% on the long term type for our L&T margins. Having said that, what is really exciting for us is the steady sequential increase that we've seen in our L&T margin for the last year and we expect this trend to continue as we inch to work our long term goals to 2018. On the equipment side, we expect to be somewhere in the range of what we experience in the second half of 2017 with the market expanding and inflecting ahead of us.
Gary Prestopino: Okay. Sorry. What did you say the range was for the L&T?
Priyanka Singh: For L&T, our long term guidance that we've given, Gary, is between 36% to 40% and we expect to see the sequential growth that we experience in 2017. We expect that to continue in 2018 as we move towards our long term goal. So we expect to see sequential growth throughout the quarters in 2018 as well.
Gary Prestopino: Okay. That's great. Thank you.
Priyanka Singh: Sure.
Gary Prestopino: It looks like as I mentioned with your revenue for transaction seems to be stabilizing a little bit and just taking the total L&T revenues over the amount of transactions, but how much of the old JumpStart numbers the equipment rental that you guys would book is still in the revenue stream? How many more quarters are we going to have until that kind of totally flushes out?
Priyanka Singh: We don't expect it to totally flush out. We do see JumpStart assets to be displayed, because it's an easy way for someone to get their foot into the door without having to sign a long-term contract. So we will always have JumpStart devices. If you look at the trending, it's kind of now stable between high single digits in the last couple of quarters and we expect that trend to continue. But to answer your question, that ratability in the revenue for connection or the revenue for transaction is really driven by the shift from JumpStart to QuickStart and we expect that to continue as that shift happens, but we will always have JumpStart in our mix. So depending on where it ends up in the quarter that this variability will continue.
Gary Prestopino: I guess the question I'm asking is that years ago where you're all JumpStart, you're getting all that revenue in your L&T numbers. Right? You switched to QuickStart, eventually more your connections - the ones that you put in three years ago, you're still getting that JumpStart revenue, but eventually, if those connections would convert and I think you said they may...
Priyanka Singh: Right.
Gary Prestopino: It would start coming down.
Priyanka Singh: Yes. Like we indicated, we are stabling now, so we have the trail down, it's stabling now and what is really exciting for us in 2018 and beyond is as we add more value-added services to our mix, we do expect this revenue for connection to start picking up and growing from there on along with the stability that we are seeing on the JumpStart. I hope that answers your question.
Gary Prestopino: Yes, that's fine. And then Steve, just in general, could you maybe give us some idea of maybe some new verticals that are starting to explore cashless that you guys may be working on?
Steve Herbert: I think that one that, Gary, is the most interesting right now, is mainstream retail moving in a significant way the self-serve applications. And this is driven by a lot of things. It's driven by labor cost, we've all heard about $15 minimum wages and things like that, and of course there's the dynamic that's going on with retailer shifts. They're on the verge of being put out of business or put out of business by people like Bezos, no offense to Bezos, but the fact is that they're having defined newer and more effective ways to reach consumers. We just believe that's going to have a significant impact on the opportunities that we have to work with some major brands going forward. That's one that I personally have my eye on. I think it will fall primarily into the kiosk space. However, there will be retailers that leverage a more traditional type vending delivery system to do what they need to do, but I think you would agree, they're going to have to do something because what's happening right now for retailers is not sustainable.
Gary Prestopino: Yes. And then lastly, you've been adding customers at a nice clip. I think years ago, you said that your existing customer base had about 2 million potential connections. Can you give us any idea of where you think that stands right now?
Steve Herbert: We stick, Gary, with our number of somewhere between 2 million and 2.5 million locations. Many of the customers that we add right now on a quarterly basis come from what we call SMB - Small Medium Business and they're not large companies, but they're low cost of acquisition. We sell to them over the phone, low cost of acquisition, high margin. So it doesn't necessarily move that 2 million-2.5 million number very much, but what it does do is pump high margin business into our pipeline.
Gary Prestopino: Okay, thank you.
Steve Herbert: Sure.
Operator: [Operator Instructions] Our next question comes from the line of Mike Latimore with Northland Capital.
Unidentified Analyst: Hi. This is [indiscernible] for Mike Latimore. I have a couple of questions. What is the percentage of ePort Interactive devices in the mix in this quarter?
Priyanka Singh: The percentage of ePort Interactive devices.
Unidentified Analyst: Yes.
Steve Herbert: The percentage of ePort Interactive devices in the quarter? Was that the question?
Unidentified Analyst: Yes.
Steve Herbert: Yes. Probably in the 15% range. On a quarterly basis, we were tracking more around, say, 20%, but I think in the last quarter, it was more like 15%.
Unidentified Analyst: Okay, great. Thank you. And how should we think about hardware versus L&T revenue mix for the next year FY '18?
Priyanka Singh: That's a good question. While there might be some variability quarter-over-quarter depending on where our connections end up. On a full year of fiscal 2018 basis we expect the trend to be similar to what our 2017 exit was.
Unidentified Analyst: Okay, great. That's all for me. Thank you.
Priyanka Singh: Sure. Thank you.
Steve Herbert: Thank you.
Operator: We have a follow-up question from the line of Gary Prestopino with Barrington Research.
Gary Prestopino: Yes. Just one quick question I forgot to ask. Usually in the past your net ads have in terms of your connections have really grown, start out low in Q1, grew a little bit in Q2 and then really exploded in the back half of the year. Are we looking at that same kind of trend this year, Steve?
Steve Herbert: Sure, Gary. We do expect - there is some, because the markets are at an inflection point, I mean to talk out of both sides in my mouth here, forgive the expression. I think if you're modeling this thing, the best way to go is to look at probably some composite of fiscal '16 and fiscal '17. Look at the ramp rate and take the percentages from each quarter and sort of build out a model. We do expect to start off in the same way, but I would take a composite of the two years and look at the percentage that way, it would probably track in that manner. With that, I would give the caveat of anything can happen here because the market is clearly making a move. It might not play out the same way, but I don't think we have much of a choice because we don't exactly know what's the model in that manner.
Gary Prestopino: Okay, thank you.
Steve Herbert: Sure.
Operator: I'm showing no further questions in queue at this time. I would like to turn the call back to Mr. Herbert for any closing remarks.
Steve Herbert: Thank you, Operator. USA Technology has accomplished some important long term goals in fiscal 2017, setting the stage for increasing top line and bottom line performance. I'd like to thank everyone for joining the call today and for your support as we continue to build and scale our company. We look forward to updating you on our progress next quarter. Hope everyone has a very good day. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone, have a great day.